Operator: Greetings. And welcome to the CV Sciences, Inc. First Quarter 2023 Conference call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I’d now like to turn the floor over to CV Sciences.
Unidentified Company Representative: Thank you, and good morning, everyone. With us today with prepared remarks are CV Sciences' Chief Executive Officer, Joseph Dowling; and Joerg Grasser, Chief Financial Officer. After the prepared remarks, we will take questions from the analyst community. I would like to remind you that on today's call, management's prepared remarks may contain forward-looking statements. These forward-looking statements are subject to risks and uncertainties that may cause the actual results to differ materially from those anticipated by CV Sciences at this time. When used in this call, the words anticipate, should, could, estimate, intend, expect, believe, potential, will, project and similar expressions as they relate to CV Sciences are as such forward-looking statements. Finally, please note that on today's call, management will refer to non-GAAP financial measures in which CV Sciences excludes certain expenses from its GAAP financial results. Please refer to CV Sciences' press release from earlier today for a full reconciliation of its non-GAAP performance measures to the most comparable GAAP financial measures. This morning, the company issued a press release announcing its financial results. Participants on this call who may not have already done so may wish to look at the press release as the company provides a summary of the results on this call. The press release may be found at www.cvsciences.com. I would like to now turn the call over to CV Sciences' Chief Executive Officer, Mr. Joseph Dowling. Joe?
Joseph Dowling: Good morning, everyone. Thank you for joining our call. This morning, we issued a press release reporting results for our first quarter ended March 31, 2023. We are pleased with our continued progress as we move closer to profitability and generating free cash flow on a sustained basis. Significant financial highlights during Q1 included: we achieved for the second consecutive quarter sequential revenue growth of $4.1 million, our gross margin increased sequentially to 43% and also increased when compared to Q1 2022, we generated cash flow from operations of $1 million, we maintained our number one position in the natural products retail channel and continue to increase our market share, and we are carefully managing our working capital through diligent collection of our receivables, conversion of our inventory to cash and scrutiny of all vendor relationships, all of which contributed to a sequential increase in our cash balance at the end of Q1. We also achieved numerous operational objectives during Q1, including: we launched several new products, including our PlusCBD Reserve Collection Extra Gummies, our Reserve Collection Softgels and our PlusCBD Daily Balance, a new line of THC-free gummies and softgels. And our cost efficiency efforts continue to result in a lower overall company cost structure, with efficiency gains and cash savings in several areas, including SG&A. Also, during Q1, we reversed an accrued payroll tax associated with an RSU issuance to our founder due to the statute of limitations expiration. This transaction significantly strengthens our balance sheet, which is now essentially debt-free. Joerg will provide details on each of these areas during his remarks. Our Q1 results give us great optimism that we will remain a competitive force in our industry in spite of the continuing challenges we have faced since early 2020, including brand saturation and inaction by FDA and Congress to provide a sensible regulatory environment for our industry. Our asset-light business model is well positioned to take advantage of an industry that is maturing, becoming more professional and trustworthy. Q1 was a good example of how we are now starting to realize the positive financial impact of several years of hard work in properly scaling the company, putting us in a position to leverage the strength of our assets, including our PlusCBD brand and our distribution. On the revenue side, our immediate goal is to get the company back to a $5 million-plus per quarter revenue run rate and higher. This revenue goal is in near-term site. During Q1, we made great progress in overcoming the supply chain issues we experienced during 2022. We see more brand contraction in B2B as retailers are working through old inventory and continue to remove slow-moving brands. As I already mentioned, we are the number one selling brand in the natural product retail channel, and we continue to see market share concentration of the top three brands in the 50% range. Customers are sticking with or moving to brands that they know and trust, and we continue to be at the top of the list in the natural channel. Our B2C sales channel continues to improve. Our B2C infrastructure is built for scale and can support nearly unlimited traffic and activity. Our merchandising and marketing investment to optimize our B2C ROI is refined on a daily basis to ensure that we are achieving our return on ad spend targets. We are seeing results in all critical B2C KPIs, including new visitors, increased subscription orders and revenue and AOV. Brand contraction, increased education and consumer trust will all help grow the B2C channel, and we are prepared to grow the channel and take market share as the category evolves. Our B2B and B2C channels work synergistically as our customers often learn about or even try our products from the B2B retailer and then, over time, transition to a B2C customer. Company and brand awareness is also a focus area for our team. During Q1, we saw continued improvement in our social media public relations efforts. Our impressions, engagements and engagement rates are all improving. We are regularly covered by relevant national media outlets to highlight our high-quality products and to feature our position as a thought leader in the CBD and wellness category. Our share of voice is increasing. During Q1, a CV Sciences and PlusCBD were featured in more than 30% of total media coverage. Only one other CBD company has a higher share of voice than we do. Product development will continue to be important for our growth strategy. As we mentioned at year-end, 36% of our fiscal year 2022 revenue was from new products launched since May 2021. Of course, consumers are looking for high-quality brands like our PlusCBD products, but they increasingly want multi-active ingredient products that carry a structure function claim that can be trusted. We are addressing this trend and plan to launch new products similar to our wellness line, including our sleep, calm and relief products and our over-the-counter topical line. We also recently launched our innovative Reserve line to extremely favorable customer reviews and demand. We will continue to innovate and launch new products that are responsive to our customers and their specific need states, including for anxiety, pain and sleep disorders. We believe that strong science supports our product claims and will win the trust and loyalty of our existing and new customers. On regulatory matters, patience will be required. There is progress at the state level, and we remain optimistic regarding further progress. Inaction by FDA and Congress is frustrating, but we will continue to be actively involved at the federal level in pushing Congress to make progress. We all know that a sensible regulatory framework will significantly benefit our industry and consumers, and will create an environment where quality companies and products can be trusted to grow the category responsibly. At year-end, we commented on our drug development program in treatment of smokeless tobacco use and addiction, where we announced that the company received its formal certificate of grant from the Japan Patent Office for its patent application 721-6697 for our drug development asset. CV Sciences has also filed corresponding patent applications that provide similar patent protection in key commercial markets, with patents already granted in the United States, Canada, Australia and 6 European Union countries. We continue to believe that this drug development program has significant value and, even though we have paused development of this program internally, we continue to see collaboration partners on this program. The challenges in our industry continue, but we are well positioned with an efficient business model and operating structure. We continue to streamline operations, increase our cost efficiency and realign the company for growth and profitability. We have made great progress in structuring a very lean, cost-efficient organization that is now repositioned to leverage our company's assets and strengths, which includes our employees, the quality of our products, the trust in our brands and the strength of our distribution. We will be able to achieve profitability and cash flow positive at a much lower revenue number than many of our competitors because of the tough decisions that we have made over the last several years. Let me pause now and I will turn the call over to Joerg.
Joerg Grasser: Thank you, Joe, and also good morning to everyone. Q1 was, from a financial perspective, a very unusual quarter. We generated net income of $5.7 million and EPS of $0.04 compared to quarterly losses and negative EPS since the beginning of 2019. The main reason for our net income is the reversal of our previously recorded contingent liability for payroll taxes associated with the RSU release to our founder in 2019 of $6.2 million. We have disclosed the transaction in all of our previous quarterly and annual SEC filings since 2019. We recorded this accrual as we could have been secondary liable to the IRS and the California EDD for payroll taxes versus RSU release. At this point, the statute of limitation expires and the respective taxing authorities cannot assess CV Sciences for these payroll taxes anymore. As such, we reversed the previously accrued amount as of March 31, 2023. From a business perspective, we continue to see a positive financial impact of our cost efficiency measures across all functional areas of the company. Over the last several years, we have significantly reduced our cost structure without significant productivity losses, and we are well positioned for operating leverage as we increase revenues. Our first quarter revenue was $4.1 million compared to $4.4 million in the first quarter of 2022, and up from $3.9 million in the fourth quarter of 2022, representing the second quarter in a row of sequential revenue growth. The sequential increase was from additional B2B sales in Q1 2023 in the natural retail channel as we continue to expand our leadership position in this channel. The year-over-year decline is mostly due to lower sales volume, partially offset by higher sales prices per unit. The overall CBD market continues to be fragmented and very competitive but we see further consolidation and contraction. Our direct-to-consumer business continues to perform well, with modest digital marketing spend and associated sales represented 41.2% of total revenue in the first quarter compared to 42.5% a year earlier and 46.2% and in the fourth quarter of 2022. We made solid improvements to our main digital KPIs. We were able to continue to increase our visits to our website on a sequential basis despite lower digital marketing spend. Our conversion rate and AOV declined slightly compared to Q4 2022. We also made good improvements during the quarter for our subscriptions and loyalty programs. Gross margin for the first quarter of 2023 was 43% compared to 26% in the first quarter of 2022 and 40.4% in the fourth quarter of 2022. The improvement in gross margin compared to prior year is mostly due to reduced shipping and fulfillment costs, as well as higher average sales prices, partially offset by lower volume. We work on further cost efficiencies in order to continue to improve our growth margins. SG&A expense for the first quarter was $2.1 million, significantly down from $2.6 million a year ago and $3.6 million sequentially. SG&A expense included a noncash impairment charge of $1.2 million in the fourth quarter of '22, and the benefit of ERC credit of $2 million in the first quarter of 2022. Excluding these noncash impairment charges and ERC benefits, our SG&A expense for the first quarter 2023 still decreased significantly on a year-over-year and sequential basis. These improvements are the direct result of our ongoing efforts to reduce our overall cost structure. We have taken out costs from all areas of our business and continue to do so in order to generate positive cash flows. For the first quarter 2023, we generated an operating income of $5.8 million compared to an operating loss of $1.5 million a year ago. Our adjusted EBITDA loss for the first quarter was $0.2 million compared to $0.7 million in the fourth quarter of 2022 and $2.5 million in the first quarter of 2022. The improved operating performance and adjusted EBITDA loss are the result of our asset-light business model, which allowed us to implement cost savings throughout the organization to minimize our cash outflow. On a GAAP basis, we reported a first quarter 2023 net income of $5.7 million or $0.04 per share compared to a net loss of $2.2 million or $0.02 per share in the first quarter of 2022. Now let me turn to our balance sheet. We continue to manage our cash position very carefully and ended the first quarter of 2023 with $0.7 million of cash compared to $0.6 million at the end of fiscal 2022. Cash generated by operations during the first quarter of 2023 was $1 million, a significant improvement from the same quarter a year ago, which had cash usage of $0.4 million. The improvement in our operating cash were mostly due to the receipt of ERC funds of EUR 1.1 million during the first quarter of 2023 and lower overhead costs. We continue to aggressively manage our overall cash position with improved cash collections on our outstanding AR and daily management of our inventory and vendor payables. We continue to adjust our cost structure to be in line with our expected revenue, with the overarching goal to generate positive operating cash on a continuous basis. Our inventory was $6.5 million at the end of the quarter compared to $6.6 million at year-end as we continue to focus on efficient cash management and convert our raw materials into cash. Also, in April 2023, we extinguished our note payable with Streeterville and are now essentially debt-free. In addition, we have working capital of $3.8 million. With our improved balance sheet and our reduced cost structure in place, we have the financial flexibility to continue executing our plan and look forward to improving trends as the year unfolds. Now I will turn the call back over to Joe.
Joseph Dowling: Joerg, thank you. As Joerg and I have discussed this morning, we continue to realign our company to the scale of the industry to achieve profitability and free cash flow in the near term. Our Q1 results clearly show great progress in achieving such fundamentals as profitability and free cash flow, and we are close to achieving both in the near term. The contraction and consolidation of our industry is also having a positive impact as the number of brands and products on shelf and online are both declining significantly, allowing us to increase market share in both B2B and B2C channels. We continue to work with our advisers in evaluating both inbound and outbound M&A opportunities. We have seen a significant increase in inbound acquisition opportunities that we believe is directly related to the need and, in many cases, urgency for our industry to consolidate. We plan to be selective, but adding revenue by acquisition is a viable strategy for us. We will continue to look for opportunities to leverage the solid business model platform that we have built. We are also pursuing other new domestic opportunities and selective international opportunities that will allow us to leverage our brand, our infrastructure and the trust in our company. We remain optimistic about the short and long-term opportunity for our company and industry. We are making continuous improvement to ensure that we are scaled properly, operating efficiently and are focused on adding long-term shareholder value. We will continue to focus on our customers and retail partners who trust and love our products. I will now turn the call back over to the operator for any calls from the analyst community.
Operator: [Operator instructions] There are no questions from the analyst community. I would like to turn the floor back over to Joseph Dowling, CEO, for closing comments.
Joseph Dowling: Thank you. I would like to thank everyone for being a supporter of CV Sciences and our flagship brand PlusCBD. We look forward to speaking with you again soon. Thank you, and have a great day.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.
Operator:
 :
 :